Operator: Good morning, ladies and gentlemen, and welcome to the NCR Voyix Third Quarter 2025 Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, November 6, 2025. And I would now like to turn the conference over to Sarah Schneider. Thank you. Please go ahead.
Sarah Jane Schneider: Good morning, and thank you for joining our third quarter 2025 earnings conference call. This morning, we issued our earnings release reporting financials for the quarter ended September 30, 2025. A copy of the earnings release and the presentation that we will reference during this call are available on the Investor Relations section of our website, which can be found at www.ncrvoyix.com and have been filed with the SEC. With me on the call today are Jim Kelly, our Chief Executive Officer; Nick East, our Chief Product Officer; Beimnet Tadele, President, Restaurants; Darren Wilson, President, Retail; and Brian Webb-Walsh, our Chief Financial Officer. This call is being recorded, and the webcast is available on the Investor Relations section of our website. Before we begin, please be advised that remarks today will contain forward-looking statements. These forward-looking statements are subject to risks, uncertainties and other factors, which could cause actual results to differ materially from those expressed or implied by such forward-looking statements. For additional information on these factors, please refer to our earnings release and our other reports filed with the SEC. We caution you not to play undue reliance on these statements. Forward-looking statements during this call speak only as of the date of this call, and we undertake no obligation to update them. In addition, we will be discussing or providing certain non-GAAP financial measures today, which we believe will provide additional clarity regarding our ongoing performance. For a full reconciliation of the non-GAAP financial measures discussed in this call to the most comparable GAAP measure in accordance with SEC regulations, please see our press release furnished as an exhibit to our Form 8-K filed this morning and our supplemental materials available on the Investor Relations section of our website. With that, I would now like to turn the call over to Jim.
James Kelly: Thanks, Sarah, and good morning, everyone. Thank you for joining us for our third quarter earnings call. Beginning with our performance, we are pleased with our third quarter results, which reflect continued progress towards the financial and operational objectives we set at the beginning of the year. I previously outlined a clear strategy to reposition the company as a software-led business, supported by robust payments and service capabilities. We remain focused on executing against each of our strategic initiatives and driving profitable growth for the company. A key milestone in our strategic shift to becoming a platform powered software and services provider is the outsourcing of our hardware business. The ODM implementation remains on revised schedule with a phased transition to Ennoconn beginning in January. Cross-functional teams across engineering, supply chain and technical operations are actively finalizing readiness activities, validating integrations and preparing customer support processes to ensure a smooth transition. This shift will reduce capital intensity, streamline our operating model and enable greater focus on our high-margin software and services businesses. We are also modernizing legacy commercial structures across our installed base. As multiyear software and services contracts come up for renewal, we are introducing price escalators to better align pricing with the value we deliver. We are applying the same disciplined approach to our payments contracts. This, coupled with the completion of the migration from the former JetPay front end, will provide us a foundation to scale payments more broadly. Our focus on expanding our payments presence across the enterprise, grocery, fuel and restaurant verticals will further strengthen recurring revenue and enhance our long-term growth profile. Looking ahead, the company's primary growth driver will be the acceleration of innovation across the Voyix Commerce platform. NCR Voyix has the advantage of deep domain experience in nearly 3 decades of enterprise software development backed by more than 50 proprietary applications and thousands of purpose-built features created in direct response to customer needs. We understand how retailers and restaurants operate. And what they require to run their stores efficiently; serve their customers and scale their businesses. We have now paired that industry experience and extensive application library with AI-enabled development, significantly accelerating the time to market for our microservices architecture and new platform capabilities. Further, this approach enables us to extend the VCP to additional vertical and geographic markets at a faster pace and with greater precision. As the new solutions are deployed across our customer base, we expect higher margin software and connected payments revenue to represent a greater portion of our total revenue and enhance our growth profile. Customer engagement continues to reinforce our strategy and product direction. At the NACS show last month, we previewed only our next-generation platform solutions and the feedback was overwhelmingly positive. We demonstrated our ability to deliver the cloud capabilities customers have been asking for to align with their modernization priorities and validate the relevance of our platform roadmap. We expect this momentum to continue as we prepare for the NRF show in January, where we will introduce a broader suite of software and payment innovations for additional retailers. On January 9, we will have the honor of ringing the closing bell at the New York Stock Exchange to commemorate 100 years since our initial public offering in 1926, a milestone achieved by only 40 public companies in the NYSE's history. This achievement reflects both the longevity and our ability to adapt and lead through market change. As we celebrate a century of progress, we remain guided by the same commitment to innovate and disciplined execution that has defined our success for generations. With that, I will turn the call over to Nick, who will discuss our product acceleration initiatives and the formal introduction of the VCP and microservices architecture at the NRF Show.
Nick East: Thanks, Jim, and good morning. Our software journey began 15 years ago with strategic investments and acquisitions to build a portfolio of category-leading, retail and restaurant applications. Today, these solutions power a significant share of global commerce, serving retailers and restaurants across more than 35 countries and representing approximately $1.4 trillion in transaction volume. Our software constitutes a significant portion of the industry's business logic library, the comprehensive brain trust that represents a massive collection of codified industry wisdom. That software value and the transaction volumes it powers every day is undeniable, but it's also trapped within a prior-generation architecture, making it slower to update and harder to integrate, the kind of friction modern architectures eliminate and our customers have demanded. Beginning in 2018, we initiated a push for modernization that is now reaching a tipping point. First, we built a SaaS-based microservices platform in the cloud, which today connects nearly 78,000 of our retail and restaurant sites and enables online and in-store transactions, 24/7 for some of the largest operators in the world. Second, we re-architected our powerful monolithic applications into microservices, unified them on a modern code base with open APIs and secure, resilient operations baked in. And third, we acquired the industry's only edge native application engine designed to meet the run-time challenges of modern retail and restaurant environments, enabling customers to deliver change in their physical locations at the pace of their best digital channels and without the dependency on any specific hardware manufacturer. Consumer expectations continue to rise as technology cycles accelerate. Our customers are seeing us as a partner who will help them move faster, innovate confidently and scale profitably. NCL Voyix is positioned to be the platform-powered leader in unified commerce for retail and restaurants. Our mission is simple: to enable our customers to accelerate new possibilities, to make every experience seamless so they keep their customers coming back. Our domain and technology experts are leveraging our extensive software footprint, together with the modern architecture of the Voyix Commerce platform to accelerate the delivery of our next-generation applications across our entire portfolio now with the added advantage of AI-enabled development tools. AI is not merely layered on top of our platform, rather it is integrated into the build, deployment and support of our customer environments. AI is enabling us to accelerate the availability of our application across markets and formats. As an example of bringing innovation to market this quarter, 3 grocery brands went live in the U.S. and Europe with our new, modernized point-of-sale application. Each migrated from an older on-premise point of sale and began its state-wide rollouts that will accelerate in 2026. The go-lives exceeded customer expectations, underscoring the agility and reliability of our platform and its role in delivering improved customer experiences. We expect this momentum to build in 2026 with more customers migrating from our current solutions and new customers adopting our platform applications for their differentiated market capabilities. We are also seeing increasing demand for cloud-native microservices-based architectures in the restaurant space, driven by the same forces we've experienced in retail, the need for faster innovation, easier integration and more flexible deployment. Given our deep expertise and proven success in modernizing retail technology, we have chosen to bring our market-leading restaurant point-of-sale application onto the same VCP architecture. This creates a unified modern foundation across our businesses, accelerating our road map and enhancing value for retailers and restaurants, and an increasing number of brands that operate combined retail and restaurant formats. As an illustration into how this modern architecture has been received, we showcased the integration of our cloud-native microservices kitchen application within convenience store environments at the NACS show last month in Chicago. Customers will be able to place food orders directly from a modern pump interface and pick them up inside the store, enhancing convenience while creating new in-store revenue opportunities. The integration of our kitchen application into the retail point of sale was completed in less than a week as both were built on the microservices architecture. To validate our expansion efforts, we recently completed a comprehensive competitive market analysis, supported by a third-party research firm with engagements from industry analysts to assess our positioning. The results of this 6-month review were clear. Our strategy is aligned with that of our existing customers and the broader market. The VCP enables retailers and our restaurants to simplify their ability to accelerate their business. Additionally, our product road map delivers solutions to both enhance the consumer experience and optimize operational efficiencies, while our proprietary domain assets are highly differentiated. As we now shift into activation mode, rolling out our commercial programs and scaling our production environments, we remain excited about the outcomes our initiatives will drive for both our customers and our business. We look forward to showcasing our latest innovations at the National Retail Federation show in New York this January. This will be followed by 6 additional conferences across the markets we serve. We invite investors to join us at the Javits Center to experience the solutions firsthand and engage with our teams and customers. With that, I'll turn the call over to Benny to discuss our Restaurant's performance.
Beimnet Tadele: Thanks, Nick. In the third quarter, our restaurant business signed more than 200 new software and services customers. Our platform and payment sites increased 6% and 2%, respectively. Software ARR increased 3% and total ARR increased 7% in the quarter. In our Enterprise division, we signed a multiyear platform and point-of-sale agreement with Marco's Pizza, one of the fastest-growing pizza chains in the United States, to support its global expansion efforts. The initial phase of this rollout will commence in Mexico before the end of the year, followed by subsequent international locations. This partnership reflects the strength of our global footprint and offering, and we anticipate further growth in our enterprise business worldwide. As Jim and Nick mentioned, the company recently made the decision to leverage our edge-enabled microservices architecture to bring our Aloha next-generation point of sale to market, beginning with enterprise restaurants. The customer response to the initial preview of our edge-enabled microservices architecture has been incredibly positive, validating our strategy and reinforcing the depth of our enterprise relationships. We plan to begin lab testing the Aloha next-generation point of sale for targeted formats in the first quarter of 2026, with a broad availability across all segments by the third quarter. I'm excited about the significant growth opportunity as we deploy our edge-enabled dual cloud microservices applications and continue transforming the future of restaurant operations. In payments, customer adoption of our payments gateway solution continues to grow. This quarter, one of our existing software customers a, Mexican fast casual restaurant with nearly 600 sites, selected Voyix Connect as their payment gateway interface. Additionally, we continue to execute on our pricing initiatives, moving to a model based on transaction volume, which provides a solid foundation for our business and is in line with the market. I will now turn the call over to Darren to discuss our retail performance.
Darren Wilson: Thanks, Benny. Good morning. In the quarter, our retail business signed over 30 software and services customers. Our platform and payment sites increased 16% and 9%, respectively. Software ARR increased 11% and total ARR increased 4% in the quarter. Over the last 2 years, we have signed more than 15 mid-market and enterprise customers for our Voyix point-of-sale and self-checkout solutions, which will be implemented over the coming months. We continue to enhance the Voyix Commerce platform with value-added applications and direct integrations that serve both new and existing retail customers. Most recently, we significantly expanded our domestic fuel offering, signing long-term agreements for commercial fleet card acceptance with two of North America's largest providers. These agreements will enable us to serve as both a point-of-sale provider and full service payments processor for both consumer and commercial fuel transactions at over 18,000 locations. By managing the entire transaction life cycle, we are enhancing the value of our integrated payments capabilities and strengthening our overall value proposition. This also materially expands our addressable market for payments in the U.S. With nearly $600 billion in volume running through our fuel payment gateway and $800 billion in consumer card volume, we now have the ability to target approximately $1.4 trillion in U.S. payment volume. We also launched our next-generation loyalty solution, Voyix Loyalty. The delivery of this cloud-native and microservices-based application facilitated a multiyear agreement with HEB, the largest grocer in Texas and a new NCR Voyix customer. We will enable promotion execution across HEB's nearly 400 store footprint through a direct integration into HEB's in-house point-of-sale software, demonstrating the agnostic design of the VCP and its edge-enabled microservices applications. Additionally, we signed an expanded multiyear agreement with a regional grocery store alliance, encompassing nearly 300 stores across 3 brands in the Northeastern United States. Through this partnership, we will now deliver a full suite of next-generation platform solutions, including Voyix point of sale and self-checkout, loyalty and hardware maintenance across their entire state. Finally, in services, we expanded our longstanding relationship with a large multinational wholesale grocer, becoming the exclusive service integrator for over 20,000 lanes across 2,000 stores in Belgium and the Netherlands. In addition to providing hardware maintenance, we will now provide vendor management and be the sole point of contact for all the brand's technology-related services. This large-scale expansion demonstrates the strength of our services division and its ability to meet the complex needs of our global customers. With that, I will turn the call over to Brian.
Brian Webb-Walsh: Thank you, Darren, and good morning. For the quarter, total revenue of $684 million declined 3% due to lower hardware sales and onetime software and services revenue. Recurring revenue increased 5% to $425 million, driven by 7% growth in restaurants and 4% growth in retail. Software ARR and total segment ARR increased 8% and 5%, respectively, platform sites increased 12% to $78,000 and payment sites increased 3% to nearly 8,500. It's important to note that the majority of our customer base consists of large enterprise brands whose entire store or restaurant footprint is converted to the platform once connected in its entirety. As such, platform site growth can fluctuate depending on the timing of a complete onboarding. Adjusted EBITDA of $125 million increased 32% as margin expanded 490 basis points to 18.3%. This was primarily driven by larger-than-anticipated hardware margins and the previously announced cost actions. Turning to our segment results, beginning with Restaurants. Total segment revenue of $210 million was flat, which reflects an increase in recurring revenue, offset by declines in onetime services revenue. Recurring revenue increased 7% to $146 million, driven by payments growth and the ramping of a new large customer agreement. Segment adjusted EBITDA increased 12% to $74 million as margin expanded nearly 400 basis points to 35.2%. This improvement was driven by revenue mix, coupled with the previously announced cost actions. Turning to Retail. Total segment revenue declined 4% to $467 million, primarily due to declines in hardware sales and onetime software and services revenue. Recurring revenue increased 4% to $276 million, driven by the ramp of a new large customer agreement and platform revenue growth. Segment adjusted EBITDA declined 17% to $90 million, driven by lower revenue and customer adjustments tied to prior year delayed software implementations now resolved, along with favorable expenses in the prior year period. Adjusted EBITDA margin decreased 290 basis points year-over-year to 19.3%, but increased 150 basis points sequentially as expected. Lastly, net corporate and other expenses improved to $39 million, which reflects the previously discussed cost initiatives. Adjusted free cash flow was $42 million for the quarter before considering $23 million of restructuring cash expenditures and $3 million of accelerated product investments. We invested $38 million in capital expenditures during the quarter. For the full year, we expect CapEx to be approximately $160 million, inclusive of accelerated product investments. Restructuring cash outflows totaled $23 million for the quarter. We have now exited all of our remaining TSAs with NCR Atleos, are winding down our TSAs with Candescent and are approaching the ODM implementation. In connection with these initiatives, we have taken incremental cost actions including headcount reductions in the third quarter. Therefore, we now expect transformation restructuring cash outflows for 2025 to be approximately $100 million. Our net leverage position was 2x at the end of the third quarter based on our net debt as of September 30 and the last 12 months adjusted EBITDA. Turning to the outlook. We now expect revenue to be between $2.65 billion and $2.67 billion. Hardware revenue is anticipated to be above prior expectations, while software and services revenue will be slightly below. The lower software and services revenue is primarily due to customer adjustments tied to prior year delayed software implementations, which have now been resolved. Adjusted EBITDA is now expected to range between $420 million and $435 million and non-GAAP diluted EPS is expected to be between $0.85 and $0.90. We expect adjusted free cash flow to be between $170 million and $175 million, excluding restructuring and transformation costs and accelerated product investments. With that, I will turn the call back over to Jim for closing remarks.
James Kelly: We are encouraged by the progress across the business. Our innovation engine is accelerating, our pipeline is strengthening, and customer engagement remains constructive and aligned with our strategy. We are focused on disciplined execution and position the company for sustainable, profitable growth. I will now turn the call over to the operator to begin the question-and-answer session. Operator?
Operator: Before beginning the Q&A portion, the company has an additional item to announce.
James Kelly: Thank you, operator. I'd like to highlight an additional update this morning. A new 6-year exclusive agreement with Chipotle, deepening a trusted partnership that stands more than 25 years, was signed this morning. Under this agreement, Chipotle will expand their relationship with NCR Voyix and become the first to implement our Aloha next-generation point-of-sale and supporting applications across 4,000 restaurants worldwide. Built on the Voyix Commerce platform, dual-cloud edge-enabled microservices architecture, this first-of-its-kind solution in the restaurant industry reflects our multiyear investment in microservices technology. I'll add to that, that this work dates back for a number of months. We would have liked to have it at the start of the call, but we only finished it early this morning. And I would like to thank the team at Chipotle in addition to Benny, Miguel and their teams and our GC, Kelli Sterrett, and Laura and the rest. This was a big effort. And I think for the company, this is a very big event. I think it's a clear indication that there is a change at the company. I don't think there's a better way to see it than have a relationship that's 25 years renew for another 6 years with us. And it's really based on the product set that Nick has been talking about and the company has mentioned on a number of calls since I've been involved and also our ability to execute at a level that we are -- our customers are expecting. So with that, I'll turn it back over to the operator and let's go to questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Matt Summerville from D.A. Davidson.
Matt Summerville: Congrats on the win, by the way. Can we talk about the price escalators you've referenced, the magnitude we should be sort of expecting, how much revenue is ultimately impacted by that and would be set a benefit from what you're doing there? And maybe more importantly, can you talk about how this maybe differs from Voyix's historical practice? And then I have a follow-up.
James Kelly: Sure. Matt, I think if you go back to whether it was the the year-end call or the first quarter, I think I've mentioned this before, but the company historically had not had escalators in all of its agreements. In some areas, it did, but typically did not. And even if it did, it was unclear if they were actually billing them accordingly. So we've just gotten back to make sure the ones that were actually in the agreements are there, and we're charging accordingly. And then secondly, where they're absent as the contracts renew. So on the retail side, it tends to be every 5 years as a general rule and restaurant tends to be 3 years. I don't think we've scoped the order of magnitude. I mean these are not extreme increases. This is more cost of living plus something as opposed to some material increase. So I think what we'll see, and we've already started to see it, it's relatively small since it's just gotten started. But we are seeing increases on the revenue and earnings line as a result of this. And this is really the value that we're providing, supporting, these are very tired, old legacy applications that are continuing to operate at our customers. And for the company to be able to continue to invest in its business, keeping a 5-year contract flat over a 5-year time period just degrades its value in years 2, 3, 4 and 5 because, obviously, we experienced cost escalators as well. And that's not the primary focus. Our primary focus is to sign new customers and then ultimately to launch all the products that Nick outlined on the call, which we expect to see we will have at NRF in January for the market.
Matt Summerville: And then just to talk about the payment side of the business. I would think these new relationships on fuel and convenience have to be more needle-moving in nature. Is there a way for you to somehow quantify or directionally quantify what that maybe adds to the payment side of the business, and maybe when we can expect to get a little bit more granular financial detail on the payments performance?
James Kelly: Sure. I think it's a good question because a lot of what I've been outlining since I stepped into this role are the opportunities kind of the TAM for the company that it's not taken advantage of in the past. So just because -- which is your last question about the opportunities on escalating prices appropriately for contract renewals, et cetera. These are early days. I mean, this is a company that's been around for 145 years. This is not like the credit card industry, where you just decide to raise prices and you raise prices across the board, either in concert with the brands or on your own initiative. That's what this is. These are longstanding important relationships for us. We're just kind of equaling the table. But I think on the -- if you're referencing the commercial side, I think we've already given the opportunity domestically, we touched $800 billion in the U.S. alone today on our Voyix Connect platform. But what we announced right after -- during or right before and after NACS, the convenience show in Chicago a few weeks ago, was 2 very important relationships, one Corpay and the second one, WEX. That enables us -- even though we're in the business in the sense that our point of sales support commercial fuel, we have never been on the commercial fuel payment side. And as a result, it's more difficult to do the retail forecourt if you're not really providing a complete relationship for the customer. And that's what the future holds for us, is that for our large relationships on commercial fuel or just fuel in general, we're not just the point of sale any longer. We're the point of sale and we're a payments solution for both commercial and retail. So to give you an order of magnitude, and these are estimates that we -- our data -- we don't touch the payments today, but we see it flowing through, through the point of sale. It's 17 billion transactions domestically and roughly $500 billion in volume. So the U.S. combined between what's on our Voyix Connect and what's on another application called Epsilon, you're talking about $1.3-or-so trillion in the U.S. That's our TAM opportunity, to now have the ability to go to customers and say, "Hey, we're not just the point of sale. We can also provide payments and in this area on commercial, we can provide it." That, together with retail that you would see in a gas station, 18,000 gas stations, it was something that Nick and I who were at NACS in last month, this was very well received because the alternative is, our customers have asked for the point of sale. They have somebody generally as an intermediary and then they have somebody who's doing the payments. So this gives us the opportunity to provide one solution, which takes a lot of noise out of the system. Now some people say, well, they like multiple players. But the problem with multiple players is, we have to integrate to multiple players. We have to manage multiple players. And things always slip through the cracks. There's changes that are not well coordinated. So for us to provide a single solution all the way to the actual receipt of payments is, in my view, and I think what we've heard from our customers is going to be very well accepted. This is not just for our new next-generation Voyix POS, point of sale. But in terms of timing, I think was your other question, this can also get retrofitted onto our existing applications because they already do commercial fuel at the point of sale as well as just fuel more generally. Our preference is to launch this together with our next gen, and that's -- that was the push at NACS and that's also going to be what we're going to be focused on between now and January and then also at NRF.
Operator: [Operator Instructions] Your next question comes from the line of Dan Perlin from RBC Capital Markets.
Daniel Perlin: Congratulations on that Chipotle expansion. That's obviously very significant for you guys, and clearly a showcase win for the Aloha platform. The question I had -- yes, that's huge. The question I had is you've obviously had an opportunity to have conversations and actually implement the payment gateway strategy in terms of pricing. I'm just wondering what those conversations are like. I know you're talking about the value that you provide and now that, that's in motion. I'm just wondering what the market is kind of absorbing there. And then secondarily, it sounds like Global and Worldpay is closing now in the first quarter, so a little bit sooner than expected. I'm just wondering what that might offer you potentially in terms of potential accelerants, so to speak, with opportunities around Worldpay?
James Kelly: Okay. Look, we have a really good -- obviously, I've worked at Global. We have a really good relationship as I do with Cameron and other people there. And I think the combination of the two actually works very favorably to us because Global is Global, more so than Worldpay and Worldpay has some capabilities that Global doesn't. So I think the combination will be additive for us. I didn't know that it was accelerating in terms of its close. We're at the tail end of migrating on both sides, getting off of the legacy JetPay application. I think in terms of the reaction from customers, I think they're all very positive. I actually have a large customer coming in next week. We're going to talk specifically on payments. I think they all like the conversation from what I was mentioning in my comment where my comments with Matt, having multiple intermediaries, especially in the technology world, just generally provide something that's going to break. Somebody doesn't update, it doesn't flow all the way through and it presents issues. So I haven't seen any pushback. Has everybody just dropped their existing relationship and switched to us? No. That's going to take time. I think people appreciate that. But as I said earlier, in my comments, what I've been laying out are the opportunities ahead. There's huge opportunities on payments. There's huge opportunities on our next-gen application, on services, et cetera. So that you understand where the future of the company lies, not within just our existing customers but new customers. I mean it's a big organization. It's going to take some time to turn the organization, but our attrition is still at 1%. So it's not that we're losing customers. We just have to execute on it. And again, Chipotle, I think, is a very good kind of watershed event for us where a relationship, when I first joined in February, was not nearly as strong as it is today. I've gotten to know both Scott and Curt through the process. And as our team has gotten to know them, we did some innovation work for them during their RFP process that they were very pleased with. So I think the notion of selling other services into our customers that wasn't core to us previously, like payments, it's not as though we are additive in terms of cost; if anything, we might be able to reduce cost for them and definitely reduce complexity. Because in the end, that's what the customers are looking for, they are looking for cost, savings. They're looking for efficiency, and they're looking for a solid relationship that they can rely on, which they do with us.
Operator: And your next question comes from the line of Parker Lane from Stifel.
J. Lane: Jim, you mentioned the ODM phasing project is going to kick off in January. Just wondering if you can give an update on how long you expect that to take place and what the phasing of that project actually looks like.
James Kelly: Sure. So I think, again, on the background on this, we had earlier expectations that would go faster. There was some technology challenges on their side, and so we pulled back. Obviously, hardware remains important to us and, obviously, to our customers, but this is better. I think where we're moving as a company, this is still the right direction. The expectation, there's effectively 3 major facilities that have to switch over. So we are intending to start that the first -- not the first day, but the first week or second week of January, start moving it in pieces. I believe we'll retain our employees that would otherwise transfer across that have already been alerted to this during the roughly 90-day period. I think the expectation is 90 days. Could it extend beyond that? Anything is possible, but we're trying to do this in a way that has 0 impact to our customers and as well makes it an easy transition for our employees. During the first quarter, we'll continue to report gross revenue as we have today. But my current expectation is that by the beginning of the second quarter, that will be on a net accounting basis as we've outlined from the beginning.
J. Lane: Got it. And then in your conversation and your salespeople's conversations with your customers, I was wondering if there's any insights they're sharing on the health of the consumer. And how that's informing their willingness to spend into '26? And I guess more importantly, as a backdrop, what sort of cyclicality have you historically seen around technology investments in response to consumer sentiment there?
James Kelly: Okay. We want to let everybody have something to say on this call. So I'll say a little bit, and then I'll let Darren and Benny who deal with the customers on that basis probably more than I do. I mean Chipotle is an example. This is a significant investment on their side. They're looking for the technology that we have to offer that we haven't. We offered this on the retail side. The restaurant side historically has gone a different direction. It was more of a monolithic application in Aloha Cloud, which is being built out to replace the legacy application, which we refer to as Essentials version 19. So I think where you're able to add value together with lowering costs, I have not seen a reluctance to customers in terms of buying. And I can use an example. When I was at the NACS show, it was the first time I've attended, especially the trade shows in this industry, we had 3 brand-new products. We had no legacy products in group. Two of the products had only been -- only come together in 3 weeks before the show. That's how fast we're innovating. There were lines for one of them in particular, which is around our commercial fuel or fuel replacement application. And the major players in that space were very interested in what we had to show because it looked very similar to what they have today. And I think that's a key that we have. And as Nick said this in his comments, we have a library of over 50 existing applications. We know what our customers want because we're servicing it today. So we can modernize what they want. They're not having to transition to something new or reformat the way their organizations work. And in the end, it does lower the cost because we have the ability to manage the store as opposed to and you're not using third-party operating systems that provide cost, updates, et cetera. It's just easier. I'll stop talking and let Darren and Benny give you their view.
Darren Wilson: Thanks, Jim, Parker, yes, the conversations with our customers through the shows are 1-on-1 around the globe continue on a very healthy nature. Many of our enterprise customers are looking at infrastructure or capability upgrades, be that on new or existing hardware solutions. But ultimately, therefore, our microservices play, and open API models are having real appeal in terms of either elongating or sweating their existing hardware assets or coming with new hardware propositions. But bolting on to that is a real appeal about enhancing the servicing or the services solutions for them as an added-value feature. So they are very healthy conversations globally on that basis. And there's a real appetite for a unified commerce-type model. And therefore, as Jim has outlined, bolting on our payments gateway and our payment solution is having universal appeal. Now these are long-term contracts with ourselves and with payments provider. So there's been a lot of questions about the timing of this. I think as Jim has alluded to previously, the typical contract duration in retail is 5 years; in restaurant, it's shorter in terms of 3. So that gives you the kind of renewal cycle of the materiality of the contract, but bolting on the additional capabilities in the interim is coming. And typically, a payments contract would normally be a 3-year cycle in both verticals. So that opens up the scale of the conversations, opportunities to switch on that unified commerce capability into our customers. In terms of health of consumer, as we see various earnings releases from many of our retailers around the globe, I think universally, it's steady. I think in some markets, grocery supermarkets are saying that they're having probably the best consumer stability or growth record for many years. I know there's a reporting kind of steady, low single-digit performance. I think we're starting to see a trend to that unified commerce model in terms of consumer behavior, looking at the multiplicity of channels into the retailers we support. And I think, again, we're well positioned for that. So I don't think there's any massive revolution coming in terms of growth potential or otherwise. But I think the steady evolution is encouraging as we speak today. So I'll pass over to Benny or Nick.
Nick East: I mean I'd add to that. I speak to customers a lot. And I mentioned in my prepared remarks, I was also in -- we've taken some grocery chains live on our new stack this quarter, and I visited those customers and was in store. I can tell you they were extremely busy. I don't think I can recall a single conversation with the customer that's grounded in a lack of consumer confidence. In fact, what I would say, it's making our customers hungrier to compete for their consumer business. So the key conversation is, how do they ensure they deliver the right experience so consumers keep returning to them. And that's really the technology conversation. They want to be able to deliver faster experiences. They want to be able to make sure that those customers have a competing offer. And that's why they want to invest in technology because technology enables them to do that, technology enables them to be more loyal and also to be able to offer competing offers more quickly. That's the main conversation. It's like how can we more quickly bring better competitive experiences to our customers. And those are technology investments that they're not just willing to make and talk about it, in fact when they are making. That's really about speed, being able to accelerate the journey for their end consumers. There are specific cases where they're also investing, I would say things like loss and waste. So it's important for our customers they do have a focus on cost control amongst rising costs. So we do have offers and discussions about making sure that we reduce loss and waste for our customers in both retail and restaurants. But yes, I would say the core theme is actually looking to invest in technology in order to attract and remain loyal to their consumer base and compete over those customers.
Beimnet Tadele: I agree. It's similar in restaurants, it's the same trend. I acknowledge that there is economic pressure on a lot of restaurants, logistics, food cost labor cost, labor shortage, et cetera. That has actually an opposite effect in terms of looking at technology, restaurants when we have conversations, are having more and more conversations on how can I leverage technology to create either the revenue acceleration, which Nick talked about, how can I get more consumers into the door, how do I understand on a one-to-one basis my diners so that I can provide the service required and repeat customer same-store sales growth, et cetera? But also efficiency, efficiency in terms of automation. So technology that can easily integrate so that you can manage the the journey of the consumer from online ordering, coming into the restaurant, understanding what is available in the restaurant so that you can actually offer up and make that one-to-one offer, et cetera, all the way to automation so that I can transfer some of the things that required heavy labor from employees, store managers and free them up and have less labor costs. All of those things are technology conversations. So we're having those conversations whether it's in the super RFP cycle that I referred to that we're in. We're actually seeing a lot of RFPs looking at innovations and creations like Chipotle example that Jim provided around the innovation during the RFP cycle, one of the key things is the ability to innovate, the ability to capture revenue and the ability to create automation inside the restaurant. So we're having a healthy conversation, a pretty good pipeline. I think that's what we're seeing.
Operator: There are no further questions at this time. I will now hand the call back to Jim Kelly for any closing remarks.
James Kelly: Thank you, operator, and thank you all for your continued interest in the company.
Operator: And this concludes today's conference call. Thank you for participating. You may all disconnect.